Operator: Good day. And welcome to W.R. Berkley’s -- Berkley Corporation’s Third Quarter 2021 Earnings Conference Call. Today’s conference call is being recorded. The speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including, without limitation, believes, except or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will in fact be achieved. Please refer to our annual report on Form 10-K for the year ended December 31, 2020, and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. W.R. Berkley Corporation is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to turn the call over to Mr. Rob Berkeley. Please go ahead, sir.
Rob Berkley: Emma, thank you very much, and good afternoon, everyone. Thanks for joining for our third quarter call. So in addition to me on this end of the phone, you also have Bill Berkley, our Executive Chair; as well as Rich Baio, Executive Vice President and Chief Financial Officer. We are going to follow our typical agenda where in a couple of moments, I am going to hand it over to Rich. He is going to walk us through the highlights from the quarter. I will follow him with a couple of brief sound bites or reflections and then in pretty short order, we will open it up for Q&A and happy to take the conversation in any direction where people would like to. But before I hand the mic to Rich, I did want to flag with folks, one sort of macro observation. We were chatting internally earlier and how it seems like the quarterly calls oftentimes turn into an every 90-day session talking about certain numbers, which oftentimes go out a certain number of basis points. And while those discussions are worthwhile and productive from our perspective, it’s also important that people not lose sight of the macro and it is something that we spend a lot of time every day thinking about and that is what is the goal of the exercise what we are trying to do, and clearly, one of the cornerstone goals is building book value. Building book value is an important thing for a whole host of reasons, including building book value allows the organization to live up or meet the needs of the various stakeholders. When we think about building book value, we approach it with an idea that we will refer to as risk adjusted return that many of you have heard us talk about in the past. We take this approach and apply it to both our investing, as well as our underwriting activities. And while you probably hear more companies do not in their own words talk about these concepts. I think one of the different -- differentiating, excuse me, ways that we approach this idea is how we think about volatility as a component of risk. And again, this is something that we’ve discussed in the past, but I think it’s particularly timely, particularly relevant, when we have a quarter for the industry, for society, like we saw in Q3. This idea of volatility as a component of risk adjusted return, we certainly grapple with both the investing and underwriting side of the business. You can see it on the investment side, for example, and how we have thought about duration and how we have been willing to keep our duration short and even though that comes at a cost, we do not think the risk adjusted return is there to justify going out on the curve and extending that duration. We do not believe you get paid enough for that potential risk. In addition to that, again, as it once again crystallized, in the third quarter, when we think about underwriting activities and we think about volatility as a component of risk. Clearly, the industry is feeling the challenges that come along with cat activity. From our perspective, cat activity is there on a regular basis and why people choose to back it out on a regular basis doesn’t make a whole lot of sense to us. Our view is that volatility is real. It is a real component of risk. When we think about running the business, it is of great priority to us and how we think about deploying capital. So I am going to pause there, but before I do, I guess, one last comment. I know that there are a lot of people that will look at our numbers and Rich will walk you through it and you will do the math, and you will come up with an ex-cat accident year loss ratio and what does that mean, it is on a combined ratio and that will probably get you to approximately an 86.9%. But from our perspective, if one chooses to slip off the rose colored glasses for a moment, we generated a 90.4%. That is reality from our perspective. But in spite of the cat and the impact, we did achieve a very healthy underwriting result, and in the process, we achieved a 16.6% return on equity. Ultimately, when one thinks about building book value, you can’t just think about the steps forward that you take, you need to think about how you avoid the steps backwards. And when you think about compounding book value over an extended period of time, when you think about value creation for shareholders, amongst other stakeholders, not taking those steps backwards, is a big part of the puzzle. So, with that, Rich, I will hand it over to you if you would please walk us through.
Rich Baio: Terrific, Rob. Thanks very much, and good afternoon, everyone. Operating income increased by more than 100% to $247 million or $1.32 per share, which is compared with $121 million or $0.65 per share. The increase is primarily attributable to strong underwriting results, net investment income and foreign currency gains. The company built upon the strong first half of the year, with continued growth in premium and expansion and underwriting profits. From a production perspective, gross premiums written grew by $525 million or 23.2% to a record of almost $2.8 billion. Net premiums written grew by $446 million or 23.7% to another record of more than $2.3 billion. The session rate was fairly consistent at 16.6% in the current quarter. Breaking down the results further, the Insurance segment grew net premiums written by 23.3% to more than $2 billion, reflecting increases in all lines of business. Professional liability led this growth with 58.7%, followed by commercial auto of 28.1%, other liability of 25.3%, short-tail lines of 8.6% and workers compensation of 7.7%. The Reinsurance & Monoline Excess segment grew 26.7% to $318 million, with an increase in Casualty Reinsurance of 36% and Monoline Excess of 27.4%, partially offset by a small decline in Property Reinsurance of 1.4%. The increase in net premiums written on a year-to-date basis was more than 20%, resulting from growth and exposure and compounding rate improvements that will continue to earn through in the coming quarters. This was evident by the increase in net premiums earned of 19% in the current quarter. Included in the quarter were current accident year catastrophe losses of $74 million or 3.5 loss ratio points, compared with $73 million or 4.2 loss ratio points in the prior year. As a result, quarterly underwriting profits increased 80% to $200 million, slightly off the record quarterly underwriting results in the second quarter of this year. The reported loss ratio improved 1.3 loss ratio points to 62.4% from the prior year, primarily driven by rate improvement in business mix, prior year loss reserves developed favorably by approximately $1.5 million in the current quarter. Expense ratio improved 2 points to 28% in large part due to the growth in net premiums earned, which is outpacing underwriting expenses by approximately 7.5%. This improvement is evident from an operating cost, as well as acquisition cost perspective. We continue to highlight the partial benefit from reduced travel and entertainment, which is slowly coming back. Closing out the underwriting performance, our current accident year combined ratio excluding catastrophes was 86.9% for the quarter, compared with 89.8% for the prior year quarter. Turning to investments. Net investment income increased 26.1% to $180 million, driven by strong results in investment funds. The significant contribution in investment funds represents three consecutive quarters of outperformance and we feel it’s important to highlight that the investment fund results are not necessarily representative of future earnings. Despite the ongoing growth in invested assets, the six maturity portfolio represents 69% of the total invested assets and the associated investment income declined quarter-over-quarter due to the persistent low interest rate environment. Strong operating cash flows of more than $825 million in the quarter contributed to the increased cash and cash equivalents as of September 30th. This resulted in a slightly shorter duration of 2.3 years in the current quarter, compared with 2.4 years in the second quarter. The credit quality of the fixed maturity portfolio remains high at AA-. Pre-tax net investment gains in the quarter of $20 million is primarily comprised of realized gains on investments of $36 million, partially offset by a reduction in unrealized gains on equity securities of $19 million. The realized gains was largely driven by the sale of real estate properties in the Southeast. The effective tax rate was 19.6% in the quarter, which largely benefited from equity-based compensation that predominantly vests in August of each year. Overall, strong performance resulted in annualized return on beginning of year equity of 16.6%, as Rob alluded to. Stockholders’ equity increased by $70 million to approximately $6.6 billion in the quarter after regular dividends of $23 million and share repurchases of $93 million. The company repurchased approximately 1.3 million shares at an average price of $72.03 per share in the quarter. Book value per share increased 1.5% in the quarter, and book value per share before dividends and share repurchases increased two and a half percent. And with that, I will turn it back to Rob.
Rob Berkley: Rich, thank you very much. Very clear. Very helpful. So a couple of quick thoughts from me just following on Rich’s comments. Well, for starters, by virtually any measure a pretty attractive and healthy quarter, topline, bottomline and pretty much everything in between the two bookends. As far as the topline goes, obviously, the growth just shy of the 24%. Rich and I were doing a little bit of math together earlier. When you think about that growth sort of just shy of 40% of the growth is coming from rate, about 59% is coming in some form of exposure whether it’s new policies or auto premiums or whatever and then there is a de minimis amount coming from some other stuff. It’s just a good moment for the P&C space quite frankly ex most of the workers comp market, which continues to feel a bit of a growing headwind. Obviously, property felt some pain in the quarter, but just general market conditions are reasonably attractive and we don’t see that trend changing. More specifically, it is a good moment for specialty writers, particularly Casualty-related specialty writers and even more so the E&S market. We continue to see a growing flow of opportunities both in specialty and even more so in the E&S and there is nothing that leads us to believe that that tide is going to reverse anytime soon. So that’s definitely encouraging. On the loss side, we are trying to be thoughtful and measured as we’ve discussed in the past. Clearly, there is inflation out there. We spent years talking about social inflation. It’s still there from our -- at least through our lens and in addition to that, the realities of financial inflation clearly are having an impact on loss costs, and those are two very leveraged assumptions. So while -- when we look at our book, we believe the rate increases that we are getting in virtually all P&C lines with the exception of workers comp are outpacing trend, we are paying close attention to trend and as suggested a moment or two ago trying to be very thoughtful and measured around that. On the expense side, Rich pretty much covered it. I would just sort of take a half of pace back for those that have followed the company for some period of time. This is an organization where we have not made many acquisitions. We have been much more of a subscriber to the de novo model. We have started 47 of the 54 operating units from scratch. Some of those businesses have not gotten to critical mass and -- but they are on their way to getting to critical mass and a tailwind as far as market conditions is allowing that to happen. So when you look at the leverage that we are getting on the expense ratio as that earned premium continues to build, a lot of that is, yes, market conditions, which is allowing some of our more mature businesses to scale, but it’s also some of our smaller operations that are now seeing the window of opportunity to put more meat on the bones. Not much to add on the investment portfolio, obviously, the duration as I had referenced and Rich covered is sitting there at 2.3, book yield is about 2.3. It comes at a cost to have that discipline and to have that optionality going forward. From our perspective, inflation is here. It’s real and there is likely for it to be around for some period of time. I think I am going to pause there and I will save a couple of comments for the tail end. But actually before I do this, since most people after the Q&A just hang up, I will just again make the comment that when we not just look at our results, but when we look at the front windshield, there is really nothing that we see in front of us that is going to derail the momentum that we are enjoying today. It’s a cyclical business. This will not go on forever. But for the moment the momentum continues. So Emma, why don’t I finally stop there and let’s see what the participants would like to talk about.
Operator: [Operator Instructions] Your first question comes from the line of Elyse Greenspan with Wells Fargo. Your line is open.
Rob Berkley: Hi, Elyse. Good afternoon.
Elyse Greenspan: Hi. Thanks. Good afternoon as well. My first question on the rate and pricing side, your level of rate increases when we exclude workers comp, it did go up a little bit in the quarter, I am assuming maybe that was to some kind of business mix between the Q2 and the Q3, but anything changing on what you are seeing on the pricing environment and any business lines in the quarter?
Rob Berkley: I think it, well, obviously, mix is always a bit of a component. I would tell you it has more to do with what the market will bear. And we are continuing to try and make sure that as we price our product that it is appropriately priced for our needs, and quite frankly, there was just more opportunity to push the rates.
Elyse Greenspan: Okay. That’s helpful. And then on the expense ratio side, so two questions, one on, you mentioned that the COVID benefit is diminishing. If you could just give us a sense of what it was in the quarter? And then the second question, I mean, you pointed to the leverage from the growing premium, the expense ratio continues to tend down, it’s pretty good leverage there every quarter. So can you just help us think about kind of a run rate basis given that strong like 28% in the quarter?
Rob Berkley: Yeah. So I think as we’ve commented in the past, the benefit if you will from COVID on the expense ratio is probably worth somewhere between 40 basis points and 50 basis points. Things are starting to open back up, people are starting to travel and 40 basis points or 50 basis points that we saw early this year and last year is probably now down to, I don’t know, call it 30 basis points or so, and that will probably over time reduce from here. But the earned premium continues to grow. So what do we think the expense ratio is going to be going forward, will we be able to sustain a 28%? Look, it’s a cyclical business and we continue to try and operate and maximize the opportunity that’s in front of us. At the same time, at some point, the wind will shift direction and being the disciplined underwriting operation that we are that our topline may at some point start to shrink and the expense ratio will go the other way. So do I think that you should -- I am not going to tell you what number to pencil in, but I would tell you that if you look at our written premium, you should be able to extrapolate where our earned premium is going and that should give you a good sense as to how you might want to think about expenses.
Elyse Greenspan: Okay. Thanks. Appreciate the color.
Rob Berkley: Thanks for the questions.
Operator: Your next question comes from the line of Mike Zaremski with Wolfe Research. Your line is open.
Rob Berkley: Hi, Mike. Good afternoon.
Mike Zaremski: Hey. Good afternoon, Rob. I guess just going back to the expense ratio, it kind of feels like not too long ago it was in the low 30s and so it’s been improved a lot. I guess, sometimes investors will say, they feel like they want to discount the expense ratio benefit, because of the cyclicality of the business? But I think you also kind of spoke to a lot of kind of structural elements that could kind of permanently help the expense ratio. So like it -- maybe if possible like 100,000 foot level, if we ever did go back into kind of a softer market, would you kind of expect a lot of give back or how much is this is kind of run ratable beyond just thinking about a year or so from now given market conditions are excellent?
Rob Berkley: Nobody knows for sure exactly how it’s going to pan out, but I think we have a lot of headroom between where we are now and going above 30. So from my perspective, we are going to continue to try and be diligent around efficiencies and costs, but I don’t think anyone has an expectation that the group is going to go back to the range that you had referenced from expense ratio perspective.
Mike Zaremski: That’s helpful. Maybe switching gears...
Rob Berkley: Hey. Mike, just in addition to that…
Mike Zaremski: Okay.
Rob Berkley: … I do find it interesting, and quite frankly, a little bit bizarre that people discounts expense ratio. Because quite frankly that is real, that is tangible. Loss ratios, we know that reality over time. But the idea that an expense ratio doesn’t count that this strikes me as a little bit odd. So I don’t know, whoever is suggesting that, you could tell him I respectfully disagree. I suspect those people probably back out cats to them.
Mike Zaremski: Yeah. Appreciate it. And clearly the expense leverage has created a lot of shareholder value. Maybe moving gears to loss expense inflation, I know there’s a lot of different business lines. But maybe you could paint up a broad brush, if we think kind of on the Casualty side, we continue to hear that there’s kind of a law in the court system and we are hearing -- seeing data points about less lawsuits and even some of the settlements are not being as large as thought? But maybe that’s -- those are anecdotes. So any changes, anything you are seeing that’s changing your view on loss trend on the casualty side?
Rob Berkley: I think that one needs to be very mindful around how they think about loss trend. I think it’s a pretty foggy picture at this moment in time between the inflationary environment, we are in both social and financial, and then, of course, you have the COVID situation that muddies the water as you referred to. How much of the reduction in frequency is real versus just a delay, how much of it is permanent and will be a reality? Prospectively, I don’t think anyone knows for sure. I think that there is some people that may be susceptible to possibly declaring victory prematurely and I don’t think we know for sure how much is still hanging out there. And we as an organization are trying to be very thoughtful about it. If things -- if we are fortunate, it will approve to be that we were cautious. If it proves that no, there was just a pinch point and there is still a big surge of claims activity to come, we will be prepared.
Mike Zaremski: And maybe as a quick follow up, any thoughts on the property side, it feels like this is yet another year of slightly higher or maybe not slightly for certain companies than expected, property losses are the -- as the tone change in the marketplace, are the models, the risk files, which probably think they are inherently wrong and they -- but they -- are they kind of tweaking up the risk style I think? Thank you.
Rob Berkley: I think I would assume the most market participants are looking at their loss costs particularly around property and should be actively thinking about back to the comments earlier in the call, their risk adjusted return. And while it’s very easy to do the math and to back the cat out, I think when all of a sudden you start to really reflect on one of your points a moment ago, the frequency of cat activity, not so clear that one should be backing them out. And when they think about how they price their business, what is an appropriate rate, I think they need to think about this frequency observation that you are referencing. I think it’s a really important point that you raised.
Mike Zaremski: Thank you.
Operator: Your next question comes from the line of Ryan Tunis with Autonomous Research. Your line is open.
Rob Berkley: Good afternoon, Ryan.
Ryan Tunis: Hey. How it’s going? First question, just following up, I guess, on what you just said, within short tail lines, Rob, would you anticipate, I guess, lowering your exposure to cat exposed lines over the next 12 months or so? Is that your expectation even less cat risk?
Rob Berkley: No. Not necessarily. I think as in a clumsy way I tried to allude to earlier in the call. We are all about risk adjusted return, and quite frankly, we don’t have a problem with volatility, if we think you are getting paid appropriately for it. So if we see property rates moving up to a level that we think is appropriate, then you will see us prepare to significantly grow that line. Just as a data point or a point of reference, Ryan, you will remember, you’ve known us for some years. There was a time that we were shrinking the daylights out of our Reinsurance business in general, because the Reinsurance market just didn’t make any sense to us. Now as you can see we are growing it considerably. So we are able to have a toe and a lot of tons with the idea that if the water temperature is right, we can put a lot more in the toe -- than a toe in the water. So, look, if property rates can erode from here, you will see us right less and less. If property rates improve dramatically from here, likely, you will see us take on more.
Ryan Tunis: Got it. And then follow up on capital management, this felt like the biggest buyback quarter we’ve seen in some time and I went back and looked at, it was the first half of 2020 when you guys were buying back stock in a material way. I mean can you just remind us what the thought process is on when you decide to manage capital more aggressively through share repurchase? What are your thinking in early 2020 and why it looks like, you said, it pick that back up this quarter?
Rob Berkley: But let me leave that to my boss to answer. I might have a comment at the end, but let me leave that to him.
Bill Berkley: Hi, Ryan. Ryan, I think, it’s really a function of looking at how much capital we are generating, how much we are going to use and we start to look at what’s the value of the enterprise compared to what the stock is selling yet. So whereas two years before, 72 might not have seem like the right price, given our book value and our ROE. It changes how it looks given where our book value was and what our returns were based on how we looked at things. So it’s a constantly changing target and how much capital we are generating more than we need, and frankly, at the same time, we look at the relative price to stock as to what we think of it in terms of the value going forward. So, in this case, we thought the attractiveness of the stock price at a particular point in time with such and it’s a constantly changing judgment. And it’s -- we are trying always to manage that we have the right appropriate amount of capital and we adjust that by dividends and buybacks, and we do our best by making that assessment of the right use of capital. And unfortunately, it doesn’t always show up the best in how people calculate the numbers, no different than starting companies don’t frequently ended in the best reported results as opposed to buying them, but they end up with tangible book value as opposed to intangible. So for us it’s okay.
Ryan Tunis: Got it. That’s clear. Thanks, guys.
Rob Berkley: Thanks for the question, Ryan.
Operator: Your next question comes from the line of Brian Meredith with UBS. Your line is open.
Rob Berkley: Good afternoon, Brian.
Brian Meredith: Yeah. Thanks. Hey. Rob, how are you doing? I want to focus a little bit on the comp and the growth that you saw there. I guess the first question is that audit premiums coming through or is there kind of a change in your view of comp, because as I remember couple quarters ago, you were little concerned that as the economy opened up we may see a pop in frequency and that could be problematic for comp?
Rob Berkley: So the way that we are thinking about comp is the growth that you saw there is really just payroll growth, if you will, a combination of ways…
Brian Meredith: Yeah.
Rob Berkley: … as well as people coming back to work. We still find the market generally speaking to be notably competitive. And I think the hope that the market was going -- the comp market was going to be firming by the end of this year or early next year is likely again through our lens getting pushed out a bit to, probably, by 12 months, just when we look at market conditions and try and grapple with where we are in the cycle.
Brian Meredith: And what’s your view with respect to kind of loss trend in comp potentially? It doesn’t seem like it is the frequency situation. But could it be a problem here?
Rob Berkley: Yeah. We’ve been more concerned about the severity. I think the frequency is generally speaking been a friend of the industry. That having been said, clearly, frequency trend, the improvement that you saw as a result of COVID was that’s dissipating because people are back to work. The severity trend has been a bit more of our concern and it remains a point of sensitivity and how we think about the product line.
Brian Meredith: Great. And then one other just quick one, cyber, are you much of a player in that market and what are your thoughts there?
Rob Berkley: We are a player. We are very fortunate to have some exceptionally skilled people in the space and we think that it is a line of business that is heavily dependent on expertise. And there are a lot of people that deem to want to play the game without the expertise and it’s possible that could end in tears. But that is not our approach, and again, we do write it, but we have great people who control it very tightly.
Brian Meredith: Great. Thank you.
Rob Berkley: Thank you.
Operator: Your next question comes from the line of Meyer Shields with KBW. Your line is open.
Meyer Shields: Thanks and good evening.
Rob Berkley: Hi, Meyer. Good evening.
Meyer Shields: Rob, when you mentioned that workers compensation is becoming a growing headwind, if I have -- if I am quoting it correctly, were you talking about this pricing dynamic?
Rob Berkley: I think rates just can remain very competitive. That was I guess the overarching point and there is a moment in time. I think what Brian was referring to when we had thought that the market may shift direction later this year, early next year, and again, our thought is that that will happen, but it’s probably pushed out of the year.
Meyer Shields: Okay. That’s helpful. When you look across, I have noted here today that the most recent quarter, what are the things that’s been relatively moderate, so far has been medical inflation? Can you talk about what you are seeing with regard to actual paid claims? Is there any sign of inflection in medical inflation itself?
Rob Berkley: I think that medical inflation is a challenging area. I think that there is maybe a, perhaps, among some of false sense of comfort, I think, one of the things that happened during COVID is that people in general, whether it would be related to comp or other health needs, people were reluctant to go into health-related or medical-related venues. And as a result of that, people were not getting the care. I think it is certainly possible you are going to see an uptick. So if you forget about the Insurance industry for a moment and you look at the parts of the healthcare industry, for example, the hospital industry, you will see that there are a huge surge in patients in hospitals and they are coming in worse condition than they were pre-COVID and a lot of that is not COVID-related directly per se. It’s because people were not getting care or they were postponing the care and they are sicker. So I would suggest to you whether it’s comp or healthcare in general, you saw, I think, there is medical inflation. I think pharma prices continue to climb. I think costs in general continue to climb, but you need to separate out actually the cost of care versus the volume.
Meyer Shields: Understood. Thank you very much.
Operator: Your next line -- question comes from the line of Mark Dwelle with RBC Capital Markets. Your line is open.
Rob Berkley: Good afternoon.
Mark Dwelle: Yeah. Good evening.
Rob Berkley: Hey, Mark.
Mark Dwelle: My first question, are there any COVID charges embedded within the catastrophe number you have provided? That is a number that I would like to back out even if it’s classified as a catastrophe?
Rob Berkley: Well, Mark, we certainly are hoping that COVID is not an event that is recurring with the frequency that nat cats are. Rich, I can’t remember, was it $6 million or $7 million?
Rich Baio: Yes. $6 million, Rob.
Rob Berkley: $6 million. So if -- was it there, yes. But in the scheme of 2-point something billion dollars of earned premium, it’s definitely tapering off.
Mark Dwelle: Yes. Agreed. The second question that I had is, again just kind of a market perception question is, are we still continuing to see a significant amount of business flow from the standard or admitted markets toward the E&S market or has that begun to slowdown or neutralize at this point?
Rob Berkley: No. We are seeing it continue to accelerate. It’s certainly more robust now than it was, without a doubt last year it’s more robust than it was in Q1, and like quite frankly, it’s notably more robust than it was in Q2. So we are seeing that continue to accelerate.
Mark Dwelle: Any particular lines or classes that are -- it seems more prevalent in or it’s across the gamut?
Rob Berkley: By and large, it’s across the gamut. I would tell you that maybe certain aspects ironically of property may have slowed a little bit, but the liability lines remain turbocharged.
Mark Dwelle: Thanks very much. Appreciate the color.
Rob Berkley: Thanks for the question.
Operator: Your next question comes from the line of Josh Shanker with Bank of America. Your line is open.
Rob Berkley: Hi, Josh. Good evening.
Josh Shanker: Good evening or good afternoon. I was just curious to learn a little bit more about the Reinsurance & Monoline segment. The growth is very, very strong in the quarter and given that it’s some unusual items in there, maybe we can go in some detail about what’s packed in there?
Rob Berkley: Really, it’s primarily a reflection of the liability lines and the strength that we are seeing and the opportunities there on the treaty side. And then we are also seeing some opportunity on the fact side, but they are both liability and property to a certain extent.
Josh Shanker: And can we extrapolate anything of looking back a quarter, looking forward a quarter, can you strengthen that it could be stronger going forward…
Rob Berkley: I think actually…
Josh Shanker: …maybe like the…
Rob Berkley: Look, I think, we are going to have to see how things shake out at 1/1 and that will be very instructive as to how we should think about the Reinsurance market going forward. Are we -- I think we had commented in Q2 that our treaty colleagues and applauding their discipline. There are a couple of treaties that they had decided to move away from and that came through in the numbers earlier in the year. Without a doubt, we will have to see how the Reinsurance market takes shape around 1/1. I think clearly on the property front, there was a bit of a wakeup call and I think there is probably some liability pain for the industry, particularly those that chose to grow in the -- but I would define as sort of 16 years through 18 years. They probably have a handful right now and are maybe going to be thinking about rate a little differently.
Josh Shanker: And the Reinsurance market is very 1/1 dependent, but your Reinsurance & Monoline segment doesn’t seem to have that same kind of seasonality?
Rob Berkley: I am sorry, Josh. The -- could you just repeat it? The Reinsurance market has been very what? I beg your pardon.
Josh Shanker: 1/1 dependent. It’s obviously…
Rob Berkley: Yeah. I am sorry. Yes.
Josh Shanker: Yeah. But your Reinsurance & Monoline segment, it doesn’t have the same time to seasonality. So I thought maybe you could give us little education on like fourth quarter, there is very low Reinsurance for the industry in the fourth quarter, are you guys tend to write good amount of it? So I was trying to figure out, I guess…
Rob Berkley: 1/1 is…
Josh Shanker: …Monoline stuff?
Rob Berkley: 1/1 is obviously a big date for the industry in general and the Reinsurance market included. I think over the years that sort of gotten spread out a bit, but there continue to be certain dates that are big ex-dates. I would tell you that you got to remember that some of the growth comes through over time through bordereaus. So we have certain estimates, but the way it comes through is through bordereaus over time.
Josh Shanker: All right. Thanks very much for the clarifications.
Rob Berkley: Thanks for the question, Josh. Have a good evening.
Josh Shanker: You too.
Operator: Your next question comes from the line of Michael Phillips with Morgan Stanley. Your line is open.
Rob Berkley: Hi, Michael. Good evening.
Michael Phillips: Thank you. Good morning. Good evening, Rob. One more on Reinsurance quickly, are there any notable changes to either what you are accepting or demanding on just kind of the terms and conditions of the Casualty Reinsurance book in terms of the contracts that you have maybe today versus say a year ago, I think, worth noting it.
Rob Berkley: I think my colleagues have been and continued to be very disciplined to their credit. I don’t think that they are accepting anything today that they wouldn’t have accepted yesterday or vice versa. I think what happened is that the market is moving toward the position that my colleagues and their underwriting discipline have taken. So, again, I think, they -- my colleagues are in the market every day in the manner that they think makes sense for the capital. The market moves away. The market moves toward them. As the market moves toward them, they are able to participate in a greater way and that’s what you see happening. Just like that what you see happening with our Specialty and E&S businesses and I see happening with all of our businesses. We are in the market every day in the manner that we think makes sense. The market moves toward us. The market was away from us. And much of what we do, the market is moving toward us right now.
Michael Phillips: Okay. Thank you. I guess just curious to hear how you think about, you said, it’s obviously cyclical business. It’s not going to last forever. What do you look for in terms of things in advance to see for you to think that things might be turning at the time for you to start back in a way, what things do you look for there?
Rob Berkley: Well, I think that, first off, I would tell you that, through our lens, we don’t think that that’s something we are going to need to be overly preoccupied with for some period of time given the strength of the tailwind. That having been said, there are a whole host of things that we are looking at that lead us to have a view around rate adequacy, in fact how we think about terms and conditions, of course, we are looking at submission flow, we are looking at hit ratios. So, honestly all of our businesses have a variety of different data points that they used to triangulate off of to form a view of market conditions.
Michael Phillips: Okay, Rob, thank you very much.
Rob Berkley: Thank you for the question. Have a good evening.
Operator: At this time, there are no further questions. I would like to turn the call back over to the presenters.
Rob Berkley: Great. Emma, thank you very much. And for those that may actually still be on the call, I would just tell you that this is clearly one of those moments where the planets and the stars from much of what we do are lined up. This is a moment where our expertise and our discipline is clearly paying off and the success that we have had to-date and we will continue to have is really a reflection of more than 6,500 people all working together on behalf of our various stakeholders, in particular, our shareholders. So we are very grateful for their efforts. That’s about it for us. We will look forward to updating you in 90 days. Thank you for joining this evening.
Operator: This concludes today’s conference call. You may now disconnect.